Operator: Welcome to the Dole plc Fourth Quarter and Full Year 2024 Earnings Conference Call and Webcast. Today’s conference is being broadcast live over the internet and is also being recorded for playback purposes. Currently, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. For opening remarks and introductions, I would like to turn the call over to the Head of Investor Relations with Dole plc, James O'Regan.
James O'Regan: Thank you, John. Welcome, everybody, and thank you for taking the time to join our latest earnings call. Joining me today is our Chief Executive Officer, Rory Byrne; our Chief Operating Officer, Johan Linden; and our Chief Financial Officer, Jacinta Devine. During this call, we’ll be referring to presentation slides and supplemental remarks, and these, along with our earnings release and other related materials, are available on the Investor Relations section of Dole plc website. Please note, our remarks today will include certain forward-looking statements within the provisions of the Federal Security Safe Harbor Law. These reflect circumstances at the time they are made and the company expressly disclaims any obligation to update or revise any forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied due to a wide range of factors, including those set forth in our SEC filings. Information regarding the use of non-GAAP financial measures may be found in our press release, which also includes a reconciliation to the most comparable GAAP measures. With that, I’m pleased to turn today’s call over to Rory.
Rory Byrne: Thank you, James, and welcome, everybody. And thank you for joining us today as we discuss our results for the fourth quarter and full year 2024. So, turning firstly to Slide 4, and a recap of key developments in 2024. Well, 2024 was another year of great progress and development for Dole plc, with the business growing its position as the leading provider of fresh produce in the world. From a financial perspective, we delivered a strong financial performance, exceeding our most recent adjusted EBITDA guidance by some $12 million and continuing our solid growth trend over the last number of years. We’ve grown organically this year, with Group revenue and adjusted EBITDA increasing on a like-for-like basis, driven by growth across our core business areas and categories. Throughout the year, we continue to place a high priority on capital allocation and managing our invested capital. We do take a disciplined, but also strategic and flexible approach to our investments. In the first quarter, we took the decision to capitalize on an opportunity to realize an excellent return on investment at the disposal of our 65% equity share in Progressive Produce per net cash proceeds of $100 billion, which we used entirely to repay debt. Then in the third quarter we agreed to deal to expand our shipping fleet with the addition of two vessels to service our East Coast operation and provide a pathway for additional growth. This approach combined with our strong operating performance allowed us to deliver significant cash generation in 2024 driving a reduction in our net debt of over $180 million. Now looking more closely at the full year figures for 2024 in Slide 5. On a like-for-like basis Group revenue increased for the full year by 6.7% to $8.5 billion and adjusted EBITDA increased 6.7% to $392 million. This was driven by a very strong performance in Diversified Fresh Produce Americas, as well as growth in our Fresh Fruit segment offsetting a very small decline in Diversified Fresh Produce EMEA which had been our strongest performing segment in 2023. On an adjusted basis net income was $120.9 million and adjusted EPS -- diluted EPS was $1.27 per share and an increase of 2.4%. Finally following another year of robust cash generation we ended 2024 with net debt of $637 million and net leverage of 1.6 times putting us in a very strong financial position for 2025 and beyond. Turning now to Slide 7 for our operational highlights and starting with the Fresh Fruit segment. Fresh Fruit a strong close to the year delivering $31.9 million adjusted EBITDA in the fourth quarter to finish with a full year $214.8 million. This was an increase of $5.9 million compared to 2023 and had a result that was ahead of our own expectations. In North America our business delivered good volume growth in bananas and plantains in particular in the fourth quarter continuing a very positive year-long trend and obviously supported by the increase in our shipping capacity from our recent investments. Additionally, in the European market we continued our positive momentum and concluded an excellent year driven by the high volumes in bananas, as well as by lower shipping costs. While we performed well in the marketplace in 2024 we were also faced with higher shipping costs into the U.S. due to the planned dry dockings of two of our vessels, as well as logistical issues of ports both in Latin America and the U.S., and some continuing price pressure in the commercial cargo space. On the supply side our fruit remained in a relatively good supply demand balance throughout 2054. The relative tightness of Peru has continued to put upward pressure on sourcing costs. This was accentuated for us at the end of the year by the impact of Tropical Storm Sara which affected an important acreage within our Honduran operations on which we do anticipate having a notable short-term financial impact on our operations in the first part of 2025. As we look out into 2025 while the underlying fundamentals of the division continue to be in excellent shape we will face some headwinds in the year to come. Very active competition, as well as sourcing issues, supply chain and foreign exchange movements. As always our very experienced and knowledgeable management team are keenly focused on dealing with all of these challenges while also working to capitalize on further growth opportunities as they arrive -- arise. So moving on to the Diversified EMEA segment and this segment had a stable final quarter ultimately delivering adjusted EBITDA of $131.5 million for the full year. A robust performance which was in line with our expectations and consolidating the excellent growth achieved in 2023. Diversified EMEA delivered good like-for-like revenue growth in 2024 of 4.4%. However, over the course of the year the segment did also face some headwinds due to supply challenges, weather events and some entity specific issues that mitigated growth at the margin level. More positively as we look forward into 2025 we anticipate continued revenue growth, and coupled with target investments and the benefit of ongoing integration within this segment we will we really go well positioned to increase profitability again on a like-for-like basis going into 2025. Change to our Diversified America segment, this segment delivered a stable final quarter consolidating a very strong year growth on a like-for-like basis excluding the impact of the Progressive Produce disposal in the first quarter of 2024. This segment delivered a $22.3 million increased in adjusted EBITDA for the full year. A fantastic performance. Early in 2024, the segment had seasonal timing benefits within the Southern Hemisphere summer export season, and particularly in the important Chilean cherry business. However, as the year progressed, this segment consistently outperformed as our export business in particular continued to perform very well across a wide range of products, and as our North American businesses continued to deliver strong growth, especially in some of the important growth categories such as avocados. Looking ahead, as ever, the turn of the year in the Diversified Americas segment coincides with the high point in activity in the Southern Hemisphere summer export season. And so far, while the very strong profitability seen in the Chilean cherries in recent seasons may not persist at the same levels this season, it’s also clear that the business remains in a good position to deliver on our expectations. As we look further out into the year, both for our export and North American businesses, we believe we can further consolidate the strong revenue growth we had in 2024 and build our base for further growth in the years to come. So turning to the Fresh Vegetables business, as we have noted on our most recent earnings calls, we are continuing to work on delivering the best strategic alternative for our vegetables business, and that process remains ongoing. On the operational side, the improved results we’ve consistently seen in 2024 continued in the fourth quarter. While we recorded an accounting adjustment to the carrying value of discontinued operations at the year end, on an underlying basis, our Vegetable business concluded an encouraging turnaround year in 2024, delivering positive cash flow on a full year basis. Overall, as we head into 2025, we are pleased that our corporate and divisional management teams have been successful in re-establishing an improved foundation for this business, and in doing so allows us to continue with the patient approach to ultimately deliver the best long-term outcome for all our stakeholders. With that, I hand you over to Jacinta to give the financial review for the fourth quarter and full year.
Jacinta Devine: Thank you, Rory, and good day, everyone. Firstly, turning to the Group results on Slide 9. Fourth quarter Group revenue increased 4.6%, with this growth driven by strong operational performance across all of our segments. On a like-for-like basis, excluding the impact of FX and the sale of Progressive Produce, the increase was 10.8%. For the full year, reported revenue increased 2.8%, and on a like-for-like basis, revenue increased 6.7%. Adjusted EBITDA decreased 2.9% in the quarter. However, on a like-for-like basis, increased 3.7% or $2.8 million. Fresh Fruit was the driver of growth in the fourth quarter. For the full year, we are very pleased to deliver $392.2 million of adjusted EBITDA, an increase of 1.8% on 2023 and an increase of 6.7% on a like-for-like basis. This result was ahead of our initial and revised guidance issued during 2024. Looking at net income, the decrease in fourth quarter was due to a loss of $61.2 million in discontinued operations, with significantly improved operating results offset by a non-cash write-down of the carrying value of the Fresh Vegetables division of $78.2 million net of tax. As the Fresh Vegetables division is accounted for under the held-for-sale accounting guidance, we were required to cease depreciation and amortization from March 31, 2023 up to December 31, 2024. The impact of this cessation of depreciation and amortization was $78.1 million and was the primary reason for the non-cash write-down. On a full year basis, net income of $143.4 million was $12.3 million lower than prior year. The decrease was primarily due to a non-cash write-down of the carrying value of the Fresh Vegetables division, as well as higher tax expense. These decreases were partially offset by higher operating income due to strong underlying performance across the Group, higher other income and lower interest expense. On an adjusted basis, adjusted net income increased 3% to $15.3 million in the fourth quarter and adjusted diluted EPS was $0.16 per share. The increase was predominantly due to lower interest and depreciation expense, partially offset by lower adjusted EBITDA and higher tax expense. For the full year, we are pleased to report a 2.4% increase in adjusted net income to $120.9 million, primarily due to the increase in adjusted EBITDA, as well as lower interest and depreciation expense, partially offset by higher tax expense. Adjusted diluted EPS for 2024 was $1.27, compared to $1.24 in 2023. Turning now to the divisional update for the fourth quarter of our continuing operations, starting with Fresh Fruit on Slide 11. The Fresh Fruit division delivered another strong result in the fourth quarter to round out a good year, with the revenue increasing 9.4% and adjusted EBITDA increasing 10.8%. The increase in revenue was due to higher worldwide volumes of bananas sold, higher worldwide pricing of pineapples, and higher pricing and volume for plantains in North America. These increases were partially offset by lower worldwide volumes of pineapples sold, lower worldwide pricing for bananas, and lower pricing and volume for plantains in Europe. The adjusted EBITDA increase was primarily driven by higher revenue in bananas, as well as lower fruit sourcing and shipping costs in Europe, partially offset by higher shipping costs in North America due to dry docking. For the full year, revenue increased 5% and adjusted EBITDA increased 2.8%. Now turning to EMEA on Slide 12. This segment delivered 5.5% revenue growth in the fourth quarter, driven by a strong performance in the U.K., Spain and the Nordics, partially offset by a net negative impact from M&A activity of $7.4 million. On a like-for-like basis, revenue increased 6.5%. Adjusted EBITDA decreased 0.5%, primarily due to decreases in the Czech Republic, South Africa and Ireland, as well as an unfavorable impact from foreign currency translation of $0.2 million, partially offset by a stronger performance in Spain and the U.K. On a like-for-like basis, adjusted EBITDA increased 0.3%. Overall, a solid performance in 2024 from the EMEA segment, with like-for-like revenue increasing 4.4% and adjusted EBITDA increasing 1.9% on a like-for-like basis. Now finally turning to Diversified Fresh Produce Americas and Rest of World. As in previous quarters this year, reported revenue decreased primarily due to disposal of Progressive Produce in Q1. On a like-for-like basis, revenue increased 16.1% due to higher export volumes in cherries and grapes, as well as strong trading performance across categories in the North American market. Again, most of the decrease in adjusted EBITDA can be explained by the Progressive Produce divestiture. On a like-for-like basis, adjusted EBITDA decreased 2.2% or $3 million -- $0.3 million, excuse me, primarily due to a lower profitability in the Chilean cherry business, partially offset by continued good performance in North America, particularly in kiwi, grapes and avocados. The segment delivered a very strong full year result on a like-for-like basis, with the revenue increasing 13% or $233.3 million and adjusted EBITDA increasing 52.3% or $22.3 million. Now turning to Slide 14 to discuss our capital allocation and leverage. We remain ever focused on capital allocation and managing our leverage, and are pleased that our leverage reduced further in the quarter to finish the year at 1.62 times. The reduction was driven by a $95 million decrease in net debt compared to Q3. Interest expense has continued to decrease, compared to the prior year, due to lower debt levels, as well as lower base rates and was $18.1 million in the fourth quarter and $73.8 million for the full year. Under an assumption that base rates will remain broadly stable in 2025, and not assuming any exceptional cash proceeds, we expect full year interest for 2025 to be approximately $70 million. Net cash provided by operating activities from continuing operations was $262.7 million in 2024. As anticipated, we continue to see a positive inflow in working capital in the fourth quarter and this was accentuated by some seasonal timing benefits at the year end. Cash capital expenditure from continuing operations was $25.6 million for the quarter and we added a further $4.6 million of assets by way of finance lease. For the full year, total capital addition were $135.7 million, which was in line with our latest guidance. This was made up of cash capital expenditure of $82.4 million and we added a further $53.3 million of assets by way of finance lease, including the two shipping vessels mentioned on our last earnings call, and which we purchased outright in early 2025. Free cash flow from continuing operations was $180.3 million for the full year. Free cash flow benefits from strongly adjusted EBITDA performance and good working capital management across the Group over the course of the year. Continuing with our commitment to return cash to shareholders, we are pleased to declare a dividend of $0.08 to the fourth quarter, which will be paid on April 3, 2025, to shareholders on record on March 20, 2025. Now I’ll hand you back to Rory, who will give an update on our full year outlook.
Rory Byrne: Thanks, Jacinta. So we’re very pleased with the Group’s exceptional performance in 2024, delivering $392 million of adjusted EBITDA for continuing operations, a result that exceeded our own expectations and a result that we believe gives us a strong platform to continue our momentum in the 2025 financial year. As we take a more focused look at 2025, while we continue to see excellent opportunities for our business, we will also face some challenges and uncertainties this year. For most multinational businesses, the quickly evolving geopolitical environment is adding increased uncertainty in areas including regulation, foreign exchange rates and of the potential impact of any tariffs or other changes to international trade structures on sourcing costs and supply chains. In this regard, our management teams are keenly focused on preparing for as many eventualities as possible, while also continuing to promote the critical benefits of the fresh produce industry and supporting shared global goals towards enhancing health and wellness. For our own operations, we will face a known short-term headwind in 2025 following the impact of Tropical Storm Sara on our Honduran operations in November. With that in mind, given our excellent finish to the 2024 financial year, which did exceed our expectations, at this early stage of the 2025 financial year, our goal is to deliver a full year of adjusted EBITDA in the range of $370 million to $380 million. Turning to the investment side, we are pleased that we were able to make some important strategic investments in 2024. For 2025, we expect a baseline level of maintenance, level of CapEx from continuing operations, broadly in line with our depreciation expense of approximately $100 million. In addition, we continue to explore a range of development opportunities which, if executed, will strengthen our business and continue to drive further growth in the years to come. In conclusion, we are very pleased to continue to enhance our track record with another year of strong financial results. We have an excellent group of people right across the Group and a huge thank you to everyone for their ongoing commitment and dedication to drive the Dole plc forward, as well as to our important suppliers and customers for all their ongoing support. With that, I’ll hand you back to the Operator and we can open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Christopher Barnes with Deutsche Bank. Please go ahead.
Christopher Barnes: Good morning. Good afternoon. Thanks for the questions. First, could you just unpack the EBITDA guidance? You’re calling for a 4% decline at the midpoint, but I’m just wondering how much of that decline is attributed to known headwinds like the impact from Sara and difficult comparisons versus 2024 versus just added conservatism in the context of the macro geopolitical climate. And just any color you can share by segment and cadence first half or second half would be particularly helpful? Thanks.
Rory Byrne: Yeah. Thanks, Chris. And obviously, it’s a couple of big things and the thresholds very early in the year to be giving full year guidance. I think, secondly, we’re in a world that’s increasingly difficult to predict and while we haven’t built in anything specific around the potential major macro geopolitical or economic issues that can arise, I think, they do create a little bit of uncertainty and negativity around the world generally. I think you look back over the last few years, we’ve had a really, really strong track record in post IPO or continuing operations of 2022, 2023 and now 2024. I’ve shown ability to weather whatever storms are thrown out of things, we come out at the end of the year with a pretty good result. 2024 is, Chris, we took the number down to $360 million on the basis that we simply subtracted off the piece of the business that we sold in Progressive Produce to come in with a $392 million results for 2024 was a really, really strong record year for us and a really, very positive year. I know from an analyst perspective, sometimes that’s a benchmark that people would like to grow from. But the way we look at it is we’ve had a good year. We take the opportunities that are there and it was a little bit better than we might have expected. We do have the specific headwinds that we have referred to Honduras in particular. It’s just great complexity around how we source alternative proof from the shortfall in Honduras and causing dislocation in our shipping schedules and dislocations of containers. It’s a little bit more complex than just losing short-term. We had a ship breakdown on the West Coast as well. It’s a little bit unhelpful. We’ve got some proof on the mask ship that broke down on its way to China as well with 65 containers of cherries on that. Although we believe that’s between insurance proceeds. Certainly, there are some short-term headwinds, not any different or greater than we placed over the past and we’ll work our way through them. I don’t think they’re structural or fundamental to our business, but we have to work our way through them. Foreign exchange, as well has also been complicated. The dollar, as you know, strengthened quite radically post the election. And the timing of when that happened wasn’t perfect in terms of some contract negotiations and taking a guess at what the price might be based on specific exchange rates and the dollar strengthened even further from some of those negotiations. The Rest of World and the Americas division of highlighted to dispose of the Progressive business of $24 million and come in with a four-year result ahead of the 2023-year number is really an exceptionally good performance. So it’s just in that position, everything went particularly right for us and we’re very pleased with that. Although we do expect the 2025 will be a more normal year with the normal ups and downs, a good year, but it’ll be a more normal outcome on particularly products like cherries and grapes. I think the phase will be a bit different as you’ve asked for how it will unfold. I think most of the headwinds that we place will certainly impact the early quarters, in particular quarter one. So I think you’ll see over the course of the year, a slower start to the year and a more balanced phase over the completion of the full year of 2025. So I think that’s our overview guidance, Christopher, unless you’ve got any follow-up questions.
Christopher Barnes: No. No. That’s helpful. And I guess my follow-up is just around tariffs. I know it’s a shifting target, but maybe you could just help us think about some of the, like, mitigation strategies and contingencies you guys are evaluating, putting into place. Like, is there any -- do you guys have any ability to, like, go back? I know you mentioned the contract renegotiations post-election with the dollar movement were not necessarily favorable, but, like, if tariffs get in place, like, do you have ability, like, to go back to those contracts, like, or take additional pricing? Do you have alternative sourcing? You could look at productivity. I’m just trying to think through the levers that you guys have at your disposal?
Rory Byrne: Yeah. I think in micro terms, what we supply into the North American markets is healthy food, food and veg. Generally speaking, the products that the U.S. can’t produce themselves or can’t produce at that particular time. So you look at bananas and pineapples, for example, there are many tropical climates which the U.S. doesn’t have. So we believe that bananas and pineapples will continue to be consumed in appropriate quantities by Americans. I think everybody will want that to be the outcome. Some of our other export sources are complementary to U.S. sources. So, again, we think that people will want to have grapes all year round or green peppers, red peppers, tomatoes, whatever it might be, all year round and not have gaps in the market. So we think ultimately, we hope that the tariffs don’t come into play on basic day-to-day positive products like Fresh Fruit and Veg and that they can and somehow there’ll be exceptions to products that don’t have any particular impact on the American economy. But ultimately we think it can go to the price it has to, to get any kind of material impact of tariff when people want to continue to consume the products, it’ll have to be the price. And -- but there are so many variables and it’s so difficult to predict. We can control some things and we lived through a previous Donald Trump regime and we managed our way through that perfectly well. So that’s it.
Christopher Barnes: Very good. Thank you very much.
Rory Byrne: Thank you, Christopher.
Operator: Your next question comes from the line of Gary Martin with Davy. Please go ahead.
Gary Martin: Hi all. Congrats on a strong set of results. Just a few from me, kind of related. Just maybe starting on capital allocation and your viewpoint there. I mean, you made some really solid progress with regards to the leveraging during the year. Is the idea to kind of continue to focus on the leveraging or is there some degree of flexibility for, we’ll say, kind of targeted M&A and a go forward basis?
Rory Byrne: Yeah. Thanks, Gary. And I mean, obviously, the whole question of capital allocation is very high up on our agenda and we examine all the potential alternatives around that. There’s a couple of big strategic questions that we’d like to answer, get answered first before we make any major different or unusual steps in relation to capital allocation. And obviously the potential disposal of the Veg division is at the top of the list in terms of what the outcome of that can change our focus, our perception, our ability to reallocate capital in a different direction. So we’d like to get that off the table quickly. And we also are in the process of renewing our facilities and we would follow the kind of the normal approach to do that. We want to ensure that that gives us the long-term platform to have the appropriate financial flexibility to deal with future opportunities that we have as well. Acquisitions, we have our own internal corporate finance department. We continue to look at the opportunities that are out there. There is no doubt though that there is, there continues to be a differential between the private markets’ expectation in terms of value. We are seeing in some cases the cycles of PEs trying to exit. There continue to be a lot of inter-fund trading taking place and less so between funds and trade buyers. So, keep our eyes on that and there are interesting opportunities in that space, but it very much depends on achieving prices that will add to our business and add value to our shareholders. The dividends, something that’s constantly under review and we have a look at that again in the 2025 context. And then, interestingly and from a very positive perspective, we do actually have a lot of internal development projects on the agenda that we’re always looking at projects, whether it’s expanding some of our plantain production system or import JVs in Guatemala and in Ecuador. Our Chilean JV, El Parque, is looking at some interesting expansion in certain products and looking at supporting that as well. Our core business, we’ve been slowly developing a significant logistics capability up in Scandinavia and then maybe some further interesting opportunities that might involve reasonably significant investment and we’ve been open-minded looking at those. And then with some smaller investments in our existing business, expanding our Irish footprint, expanding our Spanish footprint, looking at building our export business and strengthening our position in Peru and other grapes or avocados or berries, our Fresh Fruit businesses slowly building up its footprint directly in plantains and mangoes and limes and then some of our food service businesses across Europe. So, we’ve plenty of internal projects on that we think will give us the right level of return and we do ultimately benchmark those investments against the potential of a buyback and the buyback is something that we go back to our previous slides and total projects, we did periodically undertake buyback programs and we keep an open mind, we keep an open view and in the context of those issues and we will take the appropriate decisions.
Gary Martin: Excellent. A very, very thorough answer and I think you beat me to it. I was going to ask about some of the internal projects as a follow-on, but maybe just as a second question, just to focus on Diversified EMEA for a second. I mean, you call that some degree of profit weakness just across the Netherlands, just across some of Mainland Europe effectively and I believe, Jacinto, as part of your remarks, it was kind of deemed that you kind of company-specific issues, but I mean, it’d be good to get a little bit further color on whether you expect this to persist?
Rory Byrne: Yeah. I think you look at our EMEA division and it covers from Spain to Italy, Germany, Netherlands, Czech Republic, Scandinavia, Ireland, the U.K., there’s different wholesale businesses, food service businesses, retail businesses, writing businesses. So, there’s a range of activities and you do get some ups and downs within those businesses with some interesting opportunities of looking at developing a little bit more in the countries like France, for example, we’re doing the integration process between the legacy Dole and legacy Dole projects is working very well. The master teams are combining very well to build on the combined strengths. And so there’s a few ups and downs there, but I don’t think strategically there’s nothing that we’ve got anything there that have any great concern to us and probably more opportunity than challenge.
Gary Martin: That’s really, really helpful. And then maybe just one final question just on Diversified Americas and Rest of World. You call that strong performance, particularly across kiwis, grapes and avocados, and maybe just listening to the peers, it seems as though avocado pricing has actually gone up quite a fair bit and maybe with tariffs in mind as well, is there any degree of elasticity risk if there’s further pricing across some of those higher value product categories? Thanks.
Rory Byrne: Yeah. I mean, you can be negative and say, yes, that’s some tariffs going in but obviously Mexico is a huge supplier of avocados into the North American market. But I don’t think that the U.S. is really going to focus on products that have no impact on American production. If you don’t have meaningful avocado production in the U.S., again, it needs a minimum of subtropical farmers, which the U.S. is very limited in subtropical capabilities, production capabilities. So I think that I find it’s an acceptable balance over time as well.
Gary Martin: I think that’s really, really good call. I’ll pass it on.
Operator: As there are no further questions at this time, I would like to send the call back over to Rory Byrne for closing remarks.
Rory Byrne: Thank you. Yeah. Well, we look back at 2024, it was a really strong record year for us. It adds to a very, very strong record now, post-IPO in the middle of 2021. So we’ve three bold financial years in 2022, 2023, 2024, where we’ve consistently grown and strengthened the business. Sure, there’s lots of challenges and complications out there in the world, but we’ve got a very experienced management team who’ve lived through ups and downs of many challenges over the years, and in many cases, plenty of opportunities for us for the future. There’s a good focus on all aspects of the business, operationally, financially, strategically and we think we’re well positioned to move forward in a good way. So thank you very much everyone for joining us today.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.